Operator: Good morning, and welcome to the AECOM First Quarter 2023 Conference Call. I would like to inform all participants, this call is being recorded at the request of AECOM. This broadcast is the copyrighted property of AECOM. Any rebroadcast of this information, in whole or part without the prior written permission of AECOM is prohibited. As a reminder, AECOM is also simulcasting this presentation with slides at the Investors section at www.aecom.com. Later, we will conduct a question-and-answer session. [Operator Instructions]. I would like to turn the call over to Will Gabrielski, Senior Vice President, Finance, Treasury and Investor Relations. Please go ahead.
Will Gabrielski: Thank you, Operator. I would like to direct your attention to the Safe Harbor statement on Page 1 of today's presentation. Today's discussion contains forward-looking statements about future business and financial expectations. Actual results may differ significantly from those projected in today's forward-looking statements due to various risks and uncertainties, including the risks described in our periodic reports filed with the SEC. Except as required by law, we undertake no obligation to update our forward-looking statements. We use certain non-GAAP financial measures in our presentation. The appropriate GAAP reconciliations are incorporated into our materials, which are posted to our website. Any references to segment margins or segment adjusted operating margins will reflect the performance for the Americas and international segments. When discussing revenue and revenue growth, we will refer to net service revenue or NSR, which is defined as revenue excluding pass-through revenue. NSR and backlog growth rates are presented on a constant currency basis, unless otherwise noted. Today's remarks will focus on continuing operations. On today's call, Troy Rudd, our Chief Executive Officer, will review our key accomplishments, our strategy, and our outlook for the business; Lara Poloni, our President, will discuss key operational successes and priorities; and Gaurav Kapoor, our Chief Financial Officer, will review our financial performance and outlook in greater detail. We will conclude with a question-and-answer session. With that, I will turn the call over to Troy.
Troy Rudd: Thank you, Will, and thank you all for joining us today. I'd like to begin by acknowledging the continued commitment of our approximately 50,000 professionals fulfilling our shared purpose of delivering a better world. We have the best teams in the industry, and our widening competitive advantage stems from their passion, technical expertise, and global collaboration. Our continued high win rate, record design backlog, continued margin expansion and strong cash flow are a testament to the strength of our team and the benefits of our strategy. All of our end markets are growing, and we are aggressively adding to our workforce to deliver on our commitments. Strong end market conditions and the continued growth of our professional workforce differentiates us from many businesses that are seeing macro conditions continue to soften. I also want to highlight that for the third year in a row, we'd have been recognized as the most admired company in our industry by Fortune. This is a great accomplishment and I couldn't be more proud of our people. Turning to our financial performance. Organic NSR growth accelerated to 8%, which included strong growth across both segments and was led by 9% growth in design, which matches our highest for the past decade. Notably, our growth in the Americas design business continued to accelerate. State and local activity remains strong, and when combined with the unprecedented infrastructure funding in the U.S. and the increases in the recently enacted 2023 U.S. federal budget, we are confident in a multi-year growth cycle. Our segment adjusted operating margin increased by nearly 40 basis points to 14%, which is a new high for our first quarter. Our profitability leads our industry and reflects strong execution, the benefits of our strategy and our lower risk, higher value backlog composition. We are well advanced in our path to deliver on our 15% fiscal 2024 margin target, and we are increasingly confident in our continued margin expansion over time. Adjusted EBITDA of $224 million and adjusted EPS of $0.86 were consistent with our expectations and included strong underlying operational growth. Consistent with our track record of delivering on our commitments, strong operational performance contributed to 19% growth to year-over-year earnings, which allowed us to deliver on our targets despite macro-related factors. Free cash flow is also strong, which enabled the execution of our returns focused capital allocation policy. Our primary use of capital include investments in organic growth opportunities, share repurchases, and our quarterly dividend program. I should highlight that our recent January dividend marked a 20% increase over our prior payment, which is consistent with our intent to grow our per share dividend by a double-digit percentage annually. Importantly, we are prioritizing our investments to pursue transformational growth opportunities where we have a competitive advantage. This resulted in another near record high win rate, strong backlog momentum, and an unprecedented level of visibility. The design backlog increased by 9% to a record high, which is an acceleration from the prior quarter and was driven by a 1.3 book-to-burn ratio. In addition, our pipeline of opportunities is also at an all-time high. This includes a nearly 30% increase in proposals and bids submitted, which is up from 20% growth in the prior quarter. As a result, we are confident that our design backlog will continue to increase as the year progresses. Across our business, the benefits our Think and Act Globally strategy are apparent in the changing composition of our backlog. Let me share a few examples. During the quarter, we were selected for the sizable water program management contract in Southern California. This win resulted from collaboration between our world class water and program management practices, which led to an unrivaled technical solution for our client. In addition, this win fortifies our leadership position in this rapidly growing region where last quarter we won the sizeable Padre Dam Advanced Water Purification Program in San Diego. As a result, we are well-positioned to benefit as the billions of planned investments to address persistent drought and water supply challenges increase. We were also successful in our selection for the Navy Pacific CLEAN program, which builds on our success with this client, including last year's award of the Atlantic CLEAN program. Both programs will run for at least five more years. We are experiencing a similar trajectory in our number one ranked global transportation business. In Canada, we were selected to serve as the technical advisor on a transformative light rail project, creating visibility over the next decade on a marquee project in the region. In addition, will not reflect on our first quarter backlog, we've been notified that we were selected on another nine figure win in the global rail market. We are very deliberate in how we allocate time and capital, with a focus on the best return and highest value opportunities. As a result, an increasing share of our wins are generated from scope increases and additional phases on existing programs. In fact, our largest first quarter design win was an additional phase to the existing project we already held. Several of our first quarter wins have the potential to increase in value. We've identified more than $500 million of potential incremental opportunity from the first quarter wins that we expect to add the backlog over time. This demonstrates the more valuable composition of our wins and backlog, and with it contributes to our visibility and confidence. Also contributing to our confidence is the funding growth across our largest end markets. In the U.S., the initial wave of IIJA funding is beginning to materialize in our pipeline and we continue to expect the benefits from IIJA funds to accelerate through the coming years. An increasing share of our activity today is helping clients position for this funding and clients are increasingly turning to us to utilize our digital AI powered tool fund navigator. In Canada, provincial investment rail infrastructure and market where we lead is supporting NSR, backlog and pipeline growth. The same is true in the UK where we have an established position on key frameworks and are converting large pursuits to wins. In Australia, our momentum continued including another win in the first quarter, which has further extended our backlog visibility. And finally, in the Middle East, our backlog and NSR have increased at a double-digit pace due to our positioning on the substantial infrastructure investments transforming Saudi Arabia. As we look ahead, we remain committed to executing our strategy, which is focused on expanding our addressable market through organic growth in our advisory, digital and program management practices, driving collaboration to fully capture the strength of our global platform, prioritizing our time and capital on the highest returning growth opportunities, investing in digital AECOM at an unprecedented rate to lead our industry through digital transformation, and finally, creating an industry-leading employee value proposition to attract and retain the best professionals in the field. Taken together, we are better positioned than ever to capitalize on the growing set of opportunities in front of us. Our competitive advantages are expanding the long-term earnings power of the company. As a result, we are reaffirming our 2023 financial guidance and remain confident in delivering on our long-term 2024 financial targets and aspirations. With that, let me turn the call over to Lara.
Lara Poloni: Thanks, Troy. Please turn to the next slide. I'd also like to acknowledge our teams across the globe for another strong quarter. We've built a culture around collaboration and expanding our competitive advantages and our strong performance represents the realization of our strategy. In nearly every conversation with our clients, we receive consistent feedback. Our teams are delivering unrivaled technical solutions. Our technical proposal is the most often cited factor in our wins. These technical capabilities are an essential element of our competitive advantage, which is apparent in our consistently strong win rate, and we are winning half of every dollar we bid. The great work we do is a reflection of our professionals and we are energized by the opportunities ahead. Across our markets, we are ideally positioned to capitalize on the three secular megatrends, including growing global infrastructure investments, investments in sustainability and resilience, and post-COVID supply chain and asset investments. These drivers were prevalent in several of our recent wins. In the U.S., our leadership in sustainability and resilience continues to be a differentiator. For instance, investments to modernize and strengthen the U.S. electric grid are expanding. This was highlighted by our selection to support a key renewable energy client in the U.S. on a large interstate transmission line that will leverage both our technical capabilities and our innovative digital plan engage tool for the NEPA environmental impact statement. In addition, PFAS activity is accelerating ahead of expected regulatory milestones in 2023. We are the leaders in this market, and our backlog for PFAS-related programs increased by 40% in the quarter. Finally, we were selected to advise the City of New York on its Cloudburst program, which creates clustered storm water management projects in flood prone and underserved communities across the city. This win positions us to deliver similar services in other metros globally, which plays to our strengths. In Australia, the government is investing at record levels in transportation infrastructure. We won the design contract for a substantial highway tunneling project in the first quarter, building on a series of large transportation wins over the past year. The ingenuity of our global tunneling expertise was critical in developing a technical solution for the client that reduced the environment and biodiversity impacts of this project. This was a key differentiator in our successful bid. Finally, in the UK, where the government has reaffirmed its commitment to expand its rail network and reconnect communities as part of its leveling up strategy, we are winning marquee projects that support this vision. To fully capitalize on the accelerating set of opportunities ahead, we are continuing to make investments in our teams. This includes our increased investment in U.S. healthcare benefits, which we rolled out earlier this year, and ongoing investments in technical academies to bring professionals together and foster collaboration. I am pleased to report that we are experiencing a strong return on these investments. Our workforce is growing, employee engagement is high, and employee retention across the globe is ahead of our internal targets. The return on these investments is essential to retaining and attracting the best professionals, which is key to expanding our competitive advantage. Across our business, our technical excellence empowered by a culture of collaboration and focus on pursuing the best growth opportunities have contributed to substantial momentum in our business and energize us as we pursue a record pipeline of opportunities today. With that, I will turn the call over to Gaur.
Gaurav Kapoor: Thanks, Lara. Please turn to the next slide. The strength of our financial results is a testament to our focused allocation of time and capital to the highest returning opportunities, the strength of our teams, the power of harnessing that strength through collaboration and our disciplined capital allocation policy that is driven by one key element, return on investment. Importantly, we exited the first quarter with even more momentum than we entered. NSR and backlog growth accelerated, our win rate, especially on transformational pursuits is at historic levels and funding behind the three secular megatrends, driving our business is firmly in place. Just as importantly, we are delivering profitable growth, our segment adjusted operating income margin increased by nearly 40 basis points, which is consistent with the expectations in our fiscal 2023 guidance for a 14.6% margin. Our performance reflects the competitive advantage we are creating by investing to expand our addressable market, collaborating across business lines and geographies, and narrowing the focus of our time and capital on the highest value opportunities. Please turn to the next slide. NSR in the Americas design business increased by 6% and marked an acceleration from the prior quarter. The adjusted operating margin expanded by 50 basis points to a new first quarter high. Visibility continues to increase with backlog up 7%, driven by a 1.2 book-to-burn ratio. In addition, our contracted backlog is at all-time high and bid and proposal activity increased by double-digits. These trends are a direct result of our accelerated business development activity we spoke about on our fourth quarter conference call. The growth and profitability profile we are delivering is enabling us to invest to capitalize on the growth opportunities ahead to create the best long-term earnings power, while also continuing to deliver on our margin expansion targets. Please turn to the next slide. Turning to the International segment. NSR growth increased by 12% led by the UK, Australia, and the Middle East, where we have built an incredibly strong backlog position over the past two years. Margins also expanded, which reflects our narrowed focus on key markets and sectors that drive the most value to the organization. Backlog growth accelerated to double-digits with 1.5 book-to-burn ratio. We are now positioned on several multi-year projects with billions of dollars of committed funding, which creates an enhanced level of visibility. Please turn to the next slide. We had a strong start to the year on cash flow with $84 million of free cash flow in the quarter, which continues to reflect better phasing. It bears repeating. Our cash flow remains consistently strong because of the rigor we put into converting earnings to cash and the inherent attributes of our professional services business, which includes high quality clients with strong balance sheets and the higher margin and lower risk nature of our work. As a result, we are able to invest in our organic growth opportunities and have substantial available cash to execute our other capital allocation priorities. After investing in organic growth opportunities, share repurchases remained the highest and best use of our cash flow. Our quarterly dividend is a key element of our long-term commitment to return capital to our shareholders. During the quarter, we've returned approximately $70 million in total, and we have returned approximately $1.6 billion to the shareholders over the past two-and-a-half years. Our balance sheet remains in great shape with no bond maturities until 2027 and 80% of our debt is fixed or tapped at highly attractive interest rates for several years to come. Please turn to the next slide. Turning to the financial outlook, we are affirming our guidance for all metrics built on strong foundation we set in the first quarter and the strength of our strategy that has created strong visibility for the remainder of the year. We continue to expect 10% adjusted EBITDA and EPS growth at the mid-point of the ranges on a constant currency basis with organic NSR growth accelerating to 8% for the year compared to 5% last year. We also continue to expect segment adjusted operating margin to increase by 40 basis points to 14.6%, which would mark a new annual high and continue to lead our industry. Our ability to expand margins, while investing in our teams and delivering accelerating top-line growth is a testament to the strength of our platform. With that operator, we are ready for questions.
Operator: Thank you. [Operator Instructions]. The first question today comes from Michael Feniger with Bank of America. Please go ahead, Michael.
Michael Feniger: Hi everyone thanks for taking my question. Troy, there's some concerns in the market with these headlines in DC. I think it -- a lot of the headlines want defense budget, but can you just help us understand when we look at your exposure to public funding, how locked in some of the funding is? Are you hearing any issues on the ground about that that pipeline seems like the building could slow it off. Just curious if you can kind of comment on some of the headlines we're seeing? And if we flesh that out, what the actual risk to your growth outlook there?
Troy Rudd: Okay. Yes, Michael, thanks for the question. So I'm going -- that's a broad question. I'm going to take it in a few parts. I guess first of all, in terms of the federal government, there certainly is an ongoing debate about spending and debt certainly [ph]. And it's our perspective, first of all, that we think that our government will ultimately act rationally. If we go back and look at history, it always does seem to turn out that way. At the very least, there have been some periods of time where the government has been impacted for a few days. For us, we only have low-single-digit exposure to the federal government, and that really has no material impact on our business in the short-term. And again, most importantly, those times of shutdowns are really irrelevant for the long-term performance of our business and the long-term investment cycle and infrastructure. And again, I think the second part of that question is, when we look at the again in the United States, the funding that has come into infrastructure has been building for a period of time, and it certainly has been bipartisan and those funds for the most part have been appropriated. So when we look forward, we really don't see there being a significant risk to the monies set aside by the IAG or the other act. And so in the long-term, we see that as not having an impact on the opportunity for our business in the U.S. And then, going a little bit even deeper than that, when we look at our state and local governments, state and local governments have very significant funding, and we see the rainy day funds in state and local governments being at the highest level since I think going back to the 1980s. And so again, I think there's just really strong underpinning for the long-term investment that's been set aside for infrastructure, there certainly is demand for it. And the last comment just about our overall business. Again, we're focusing on the U.S., but the trends that we're seeing are across our entire business. So they're global in nature, and we certainly see, again, while there are always going to be blips in terms of the long-term opportunity, we really don't see that being any significant risk to the long-term value of the business.
Michael Feniger: Thank you. And Troy, over the last 12 months, many of some of your public peers have acquired other businesses, you stayed the course and are talking about some increasing win share. So how do you view your organic approach versus the M&A approach as we think about capturing some of these bigger projects, these growing bigger projects more scale as, as the funding level start to really pick up and ramp up into 2024.
Troy Rudd: Yes. Again, so Michael, our focus and our strategy has been built on taking advantage of the long-term opportunities. And so again, we built a strategy around that, and we're executing against it. And then in terms of allocating capital, we had disciplined around our return profile. And we look forward and said the highest returning opportunities to invest in organic growth. We still believe that, and it is certainly paying off for us. And I'll expand upon that in a second, but it is paying off for us. Now we look at just the next best opportunity, it is certainly returning net capital to shareholders. Maybe it changes over time, but as of today and as we look forward, investing in organic growth, and return it to our shareholders is what we're focused on. And when you contrast that to doing M&A, we just had a difficult time being comfortable that doing transactions at 15x earnings in businesses that really have organic growth opportunities that are in the mid-single-digits. So certainly, they can reach double-digits at certain points in time. It is hard for that return on the capital being deployed at a 15x transaction and makes sense. And so again, we're just -- we are governed by the discipline to making sure we're providing the best return on capital. And so our strategy built around that, and we don't see that -- we just certainly don't see that changing. And we look at the opportunities in the market they're robust and it's paying off. And we made reference to the fact that the large wins that we're seeing in our portfolio business has increased significantly. So now almost 30% of our wins are over $25 million. And if we go back a number of years, that number was approximately kind of 12%, 13%, 14%, and that bodes really well. We've created for us because those are long-lived projects. We get a great visibility in the future. The other is they expand the relationship that you have with your customers. And using those long projects actually have the ability to expand and statistically speaking, we see them expand fairly significantly. So by winning those long-term programs, you're not just winning what's in backlog, you're winning something over the long-term, it's a much higher number.
Operator: Our next question comes from Andy Wittmann with Baird. Please go ahead.
Andy Wittmann: Great. Thanks for taking my questions, guys. I guess you guys are guiding NSR growth of organic 8% for this year and the quarter, the first quarter, you posted that. And you've got the benefit of some of the stimulus things that you referred to and previously even said that you expected the year to accelerate as the year goes on. So seems to me that the 8% could be conservative. And I was wondering if that is the case, or if there is an offset that's developed somewhere in your forecast or planning that we should know about?
Gaurav Kapoor: Hey Andy, this is Gaurav. I'll take that question. There's no change in our outlook and the plan we have committed to in FY2023. Look, we're early in the year and as you noted correctly, a little bit ahead of our expectations for Q1 and underlying bookings growth was very strong across our design business. But similar, what prior years have thought us is to be prudently conservative due to ever-changing macroeconomic conditions, but the management team will always be focused on delivering on its commitment.
Andy Wittmann: Got it. Thanks. And maybe, Gaur, maybe you reiterated the 2024 longer-term, which is not that longer-term any more guidance here today. In that, you've said that 15% margin would be kind of the target. And so I guess when I look at like 15% margin, and the $475 million with, frankly, the newer interest expense assumptions, does imply a fairly material acceleration in organic growth rates to get to $475 million. I guess my question is, what's the most likely way that you get there? Is it by exceeding or well exceeding the 15% margin target? Are you increasing the confidence in the organic growth rate in the medium-term?
Gaurav Kapoor: Yes. Good question again. Thanks for that, Andy. So you're right. There's no change in what we have committed to, including when we spoke just two, three months back. In our FY2024 outlook, we feel confident. In fact, as we sit here today, we're more confident than we were three months ago. And it's a dynamic model. The three key pillars we're focused on are growth, margin expansion, and our capital allocation strategy. We have outperformed to-date on every single one of those metrics. Our growth ahead of expectations, our margin expansion has been faster, and we expect to deliver on that 15% with the focus being to maximize that delivery as we move forward over the next call it 21 months -- 20 months into 2024. And these things are allowing us to overcome some things are outside of our control, like FX or interest, as you said, but even those, if this management team is focused on making sure we put the best foot forward on every single facet we can control. A great example of that is our balance sheet and how the strength of our balance sheet we've created over the last two years, where 80% of our debt is fixed at very favorable. And I want to really emphasize very favorable interest rates. So those headwinds are absolutely there. We over delivered on the factors that we can control. Now you layer on top of that, our strong book-to-burn you've seen over the last 18 months continuing into Q1, it really supports not only our 2024 model, but put forth strong results we expect to deliver for years to come.
Operator: The next question comes from Sabahat Khan with RBC Capital Markets. Please go ahead.
Sabahat Khan: Hi, great. Thanks and good morning. Just a question on the earlier comments around still continue to sort of ramp up hiring given the demand outlook. I guess how are you balancing that against maybe just some of the uncertainty in the backdrop? Or do you have enough visibility to support some of this hiring? And I know some of your peers kind of used contract engineers and things like that. Are you using some of those tools just trying to understand how you're balancing hiring needs with sort of the evolving backdrop?
Troy Rudd: Yes. Sabahat thank you. It’s Troy. Kind of an unusual predicament. In that, we're focused on trying to continue to create capacity to keep up with the rate which we're winning work. And so we are focused on hiring broadly across the business. And at the same time, we're focused on trying to increase the capacity of our entire professional team, and we're doing that by using digital tools to be deployed on projects, and we're also building and expanding our enterprise capability centers, which allow us to actually create efficiencies and delivering some of our work. And so at this point in time, we don't -- again, our focus is really -- I'm trying to increase the capacity to keep up with the rate at which we're winning work.
Sabahat Khan: Great. And then just, I guess, the comments around the increased win rates, particularly on larger projects. So maybe you could share some color on are these changes that you made to win these projects, and are these structural things that you think could last sort of through the economic cycle, through the demand cycle, how do you sort of adjust your approach to bidding and things like that, the demand environment over the next 12 months to 24 months may be moderate. Just a little bit of color on maybe the changes you've made and how sustainable you think some of those impacts are?
Troy Rudd: Okay. Yes. So I guess I'm going to start by saying I think that they're highly sustainable. We've again focused in our strategy and trying to create competitive advantage. And I think we're seeing that pay off. And I guess the payoff is, again seeing backlog grow, but also seeing the composition of our backlog change in a meaningful way that creates much more long-term visibility and therefore, opportunities for the people that are here. The other thing we've done is we've exposed ourselves to more of the client spend on projects. In the past, if you're a design business, you're exposed to certain components of the spend on a project. And so by building out an advisory in a program management business and our program management business has now been growing at over 30% per year. It exposes us to much more of that client budget. And so again, that's sort of structural and things that we don't think will change. And then in terms of creating that competitive advantage, it really is built around investing in our teams, making sure that we provide the best technical solutions to our clients. It is focused on bringing the best that we have around the globe to our clients, which are most important projects. And it's our investment in building changes in how we deliver. And we refer to as digital AECOM, but it really is delivering some different consulting services and different external tools that are used by our clients. But importantly, it's focused on how we actually deliver that work differently and create efficiencies. And I'm going to give -- I'm going to send this over to Lara, just to talk a little bit about what we're seeing in terms of winning around the world is a great example of the competitive advantage that we're building.
Lara Poloni: Yes. Sabahat, I mean, I think to answer your question, the technical academy is a great example of the difference and that point of differentiation. So -- and another key element of our investment in our people and the return on investments that we're seeing with that. So we have invested in technical academies and we've got great uptake and engagement from all of our 50,000 employees and that is ongoing technical learning. And that's how we show up to interviews and a key differentiator in terms of our positioning. And anecdotally, we know that on nine out of the 10 recent key enterprise critical wins that we've had, AECOM earned top technical scores, which means that our technical province and capability is that key differentiator and a key reason why they're winning. So I think that's a very material point of differentiation for us at the moment, and it's really paying off in terms of that investment in technical talent.
Operator: Our next question comes from Andy Kaplowitz with Citigroup. Please go ahead.
Andy Kaplowitz: Book-to-bill accelerated bids -- how are you doing? So book-to-bill accelerated bid in Q1 1.3x. I think you mentioned the 30% increase in bids and proposals from last year. You obviously had a nice movement in contracted backlog as well. So just two questions. Can you maintain this kind of book-to-bill based on your increased proposals for the next few quarters? And do you see Americas NSR growth based on current conditions continue to rise from 6%? Or is it more that double-digit international growth that will carry you to the 8% growth for the year?
Troy Rudd: So Andy, I -- yes, the answer to your question is, yes. I do see it being able to consider the high book-to-burn. Just again, given the fact that, as Lara pointed out in our prepared comments, we're actually winning $1 out of every $2 that we did. So our capture rate is at 50%. And frankly, it's been that way now for five quarters. So you create a lot of confidence when you are winning the things you define is really matter. Secondly is with our pipeline, growing so significantly, and the pipeline is in the U.S. and around the world. With that increased pipeline, yes, we do think as we keep winning at this rate, we're going to keep building our backlog at the clip that we're seeing. So we do have confidence around that. And I'll take it to Gaur to answer your second question.
Gaurav Kapoor: Yes. Andy, as we look forward, what's really driving our confidence in the market how we -- our priority in the marketplace and how we were being successful is if you really look at it, our strategy is simple, yes, focus. We're focused on the nine key geographies that have significant funding macroeconomic tailwinds. Our people are some of the best professionals in the industry. We're investing significantly in ensuring that their brand, their technical brand continues to outpace competition in the marketplace. While at the same time looking at those key geographies and being very focused on return-based investment as Troy alluded to earlier, program management, advisory and digital tools. So all this builds and bodes so well not only sustaining what we have done, but to continue to take our competitive differentiating platform we have created into the future and capitalize on the funding that's going to continue to be available for us.
Andy Kaplowitz: And then could you update us on your construction management business? Are you growing backlog in that business? And I know last quarter, you mentioned some non-traditional developers are pointing out on the market but your business was more than supported by aviation convention centers other end markets. Can you give us an update on what you're seeing?
Troy Rudd: Yes. So we're seeing sort of the same thing happening. I mean while there certainly is some softness in residential and commercial markets and the businesses in the United States, we are still seeing a great pipeline of opportunities. In particular there's some large opportunities, and it is a more diversified portfolio of opportunities, and it's focused around the same thing. It's aviation. It is certainly sports and leisure; it's investment in convention centers and investments that cities are making across the country. So we do see -- we continue to see a robust pipeline. But I think the really important part around that business is that we do have almost four years of work and some large projects that will create great long-term visibility for us to build upon. And then again, just to the last point about that business is, even with some softness in the market, and we do have -- it is lumpy in terms of how wins were. Our book-to-burn was almost 1 in this quarter. So I think our seating business is exposed to some market is slower, but it's because of the exposure we've created to other market segments is in great shape.
Operator: Our next question comes from Jamie Cook with Credit Suisse. Please go ahead, Jamie.
Jamie Cook: I guess just two questions. One, Troy understanding that your win rates are up and you have projects with longer duration, which helps create visibility. Can you talk to sort of the margin profile of the backlog today relative to where we were 12 months ago or 24 months ago as you're refocusing on higher profit type opportunities. And then my second question, just confidence level in getting the international margins to double-digit, like what are the two or three things that need to happen from here in order to execute against that? Thank you.
Troy Rudd: Okay. Thanks, Jamie. I'll take the first part of that question. I'll let Gaur handle the second question. And first of all, with respect to win rates, they didn't -- again, I'd say we're really pleased with those kind of high win rates. Even in the large projects, our win rates are even higher than that. And in terms of the margin profile over winning, the margin profile continues to get better, which, again, is part of gives us confidence in expanding margins as we move forward. If you go back a few years, the margins that currently exists in our backlog by comparison are up more than a few percentage points. So again, part of the progress we're making on improving margins, which gives us the opportunity to continue to invest to our margins is because the profile of the work that we're winning comes with significantly higher margins than it did years ago.
Gaurav Kapoor: Yes. And Jamie, looking at the margins going to double-digit that is our focus. We're going to deliver double-digit margins in 2024, and there's going to be various pieces, some of which we've already spoken about during the call, they go from making the right investments in our people providing the right platform for them to be successful in the marketplace, while at the same time, being very rigorous in how we review our portfolio to make sure it meets our risk and return profile. Something you signed in the first quarter, as we spoke in Q4, we exited parts of our Southeast Asia business because we knew, on a long-term basis, the risk in those businesses and the return available in the marketplace is not consistent with what we want to expect and deliver for sustained shareholder value creation. Our expectations on the long-term for the international business are not just to get to the double-digit margins. It is similar to what we have done in the U.S. in our Americas business; it should be the leading path on top of the path in terms of margin delivery. And that's going to be significantly driven by the growth, not only what we're seeing in the marketplace in our international marketplace. And maybe, Lara, you can speak to that factor a little bit more.
Lara Poloni: Yes, sure. Jamie, the 1.5 backlog that we have at the moment, we have a lot of momentum in the international side of the business. And we have definitely taken market share across all of the key geographies that comprise our international business. And we have confidence because infrastructure is one of those long-term secular trends, and we're winning more than we ever had before and they are great examples of the long-term nature of some of those wins. So whether it's the key wins we talked about in ANZ, the very transformational long-term wins in the Middle East and particularly Saudi Arabia, where we have a leading position in the market. And then even in the UK, where some might consider that a somewhat uncertain market that we had a very simple plan, if you to go to -- we ensure we had a strong position on all the key infrastructure frameworks and we secured all those positions. And we've had some great wins. So again, long-term, we have confidence around our margin improvement strategy and the strength of our business to capitalize on those infrastructure trends, which are very long-term.
Operator: The next question comes from Michael Dudas with Vertical Research. Please go ahead, Michael.
Michael Dudas: Troy, you mentioned in your prepared remarks, you've been very successful helping your state local clients and others, I guess, in the whole ecosystem of IIJA, et cetera, finding and capturing funds. Can you maybe talk a little bit about the base business of just a typical block and tackling in your water municipality transportation highway work and then that acceleration and timing of that acceleration for the federal funding and some of the projects that get left from there? Is that going to provide a big uplift as we move in 2024 and 2025?
Troy Rudd: Yes. Mike, the answer to that is, yes. And I think the long-term uplift goes beyond that. So if you think about how the IIJA funds or other funds from the investment -- the federal investment offers build, have been put in place that it would slowly start. And so we're starting to see the impact in the marketplace today, but we think we'll see the more significant impact of the funding from IIJA when matched with the state and local funding in 2024, but we see that going well through 2026 and 2027. In fact, what we're forecasting is the peak of that money being in the market and infrastructure project is probably in 2026 and 2027, and again, moves out to 2028 and 2029. But that's when we'd see that peak. So we see those opportunities extended for quite a long period of time. And again, I made the comment like the local governments, they again have -- they're well-funded. They have good rainy day funds. And they set aside funding for these large investments in infrastructure. So again, I think this is an opportunity that's been for a long period of time. We're looking to take advantage of it.
Michael Dudas: Thank you. And to follow-up, maybe you could share us some thoughts on your exposure to new energy, renewable energy certainly those, the transmission projects you've been booking are quite, quite supportive and, is a big wind offshore wind phase here in U.S. and certainly in Europe. So, yes, how's a) composition there? Can that be an improving part of the pie over the next couple of years? And is there any margin? Or is that an area where some of the higher margin or better value work that you -- you're talking about, capturing in that -- in that subset?
Troy Rudd: Yes, Mike, we do see that as, again, I'll expand the opportunity as funding is coming into and just call it the generation of new energy to support the economy, and then the infrastructure to support that generation of new energy. We're well-positioned across the entire business. So it's not our group of people that actually focused on those elements of projects like you made reference to some of our transmission wins, yes. But the -- our crossover business, we participate in that. So in the beginning of the process, our environment teams would participate in that. And then all of the infrastructure that has to go and in place around that are usually able to see our entire business participate in that. So again, those are as part of the long-term mega trends that will participate in and I think that the-- the investment in infrastructure and energy infrastructure isn't just something that's going last for years is that that investment will last for decades. So again we're very well-positioned for that, and very broadly.
Operator: Our next question comes from Adam Thalhimer with Thompson Davis. Please go ahead.
Adam Thalhimer: Hey, guys, can you give a little more color on private sector demand. Troy, I think in response to Andy's question, you mentioned there was a little bit of weakness in resi. And non-resi, particularly in the U.S. just curious what your outlook is there.
Troy Rudd: So our, again, our exposure to residential is very limited in the U.S. So it really is been through our construction management business. So that exposure for us is limited. And again, I'll just remind you our construction management represents only 9% of our overall business. When we look across the broader private portfolio of work, most of our exposure is at -- is in our environment, our water business, our transportation business, our ports, our aviation. And so our -- our private customer base really, really touches on all those pieces of the economy that are being invested in. And so we're just -- we're really not exposed significantly to residential.
Adam Thalhimer: Perfect. And then when you're talking about adding capacity, I'm just curious if now, might be a good time to ramp up M&A?
Troy Rudd: Not for us. That's the best I could answer that. I'm going to say -- I'd say, look, I'll give you a little bit more color on that, which is, we're having great success in the business because we're building momentum, right? It's sort of like a flywheel effect, you invest in organic growth, you create competitive differentiation, and the business starts to expand. And then, people will join you, clients pay more attention to what you do, and you deliver a better solution. And you keep creating this flywheel effect, and really important around that, as you create a consistent culture. So everybody is, again, working together, collaborate and produce much better results. And that's where our focus has been. And I think that's important too, because it's returns driven -- returns driven strategy. But it's where our focus is, and we don't want to be distracted by having an inconsistent culture being focused on having to integrate businesses and other people into that culture. We want to focus on just continuing to drive that flywheel effect
Operator: Our next question comes from Avi Jaroslawicz from UBS. Please go ahead, Avi.
Avi Jaroslawicz: Hey, good morning. Good afternoon. Thanks for taking the time. I'm on for Steve Fisher. Just in terms of, the resources that you have today in place, is it enough to meet that 8% growth for the year? Or if it's not, how much would you need to add? Or is kind of the question there with international being up double-digits and presumably an acceleration from the 6% in Americas, just in terms of when work is actually ready to burn?
Gaurav Kapoor: Hey Avi, thanks for that question. This is Gaur. So we did deliver 8% in the quarter with the labor base we have. And a good question you asked is as we look forward, we're focused on is not only providing, again, the right platform for our people to be successful but making sure the investments we're making are very focused in delivering our 2024 and long-term ambitions we have. We continue to expand on this competitive edge, this differentiation we talked about. Great example of that is digital automation. We have been making investments in the business more than ever over the last three years to capture -- to not only capture in the marketplace, but to out deliver our competition. And part of that strategy is also what we call our enterprise capability center, right, where only very few firms have the opportunity to truly use scale for a benefit, and that's what we're doing, is making sure we're able to capture in the marketplace and deliver it as effectively and efficiently we can across the globe because we do have the number one or two position in practically every single geography that we operate and the business lines that we operate.
Avi Jaroslawicz: Got it. That's very clear. And then just in terms of the market share that you're capturing, so are there any areas where you're notably outperforming? Or are you gaining share in pretty much every sector.
Troy Rudd: I would characterize this as broad-based across our sector. But really, what we’re seeing that is in the, I'll call it, the larger projects. And so we're seeing that very broad-based across the business, whether it's by geography or whether it's by business line, but that’s what we're seeing -- that's where we've seen ourselves gaining the market share.
Operator: Our next question comes from Alex Dwyer with KeyBanc Capital Markets. Please go ahead.
Alex Dwyer: Hi guys, Alex on for Sean. I just have one question. So I just wanted to get your -- I just wanted to hit on IIJA into that your updated thoughts and where we will see it go to the model first. Like what will it be your water and environment business, what would be transportation? And is there a major difference in margin profile between the work you guys do in these two end markets? I just wanted to get your thoughts there.
Troy Rudd: So yes, I wouldn't see there being any difference in terms of how we see it roll out that the IIJA funds when matched with signal of funds are coming broadly across our entire portfolio that's covered by all our business lines. I don't see any difference. And in terms of a margin profile difference, generally, we don't see that across our business line. Obviously, you see across the project but not across the business lines. And as I said earlier, what we haven't seen is that margins within the profile of our backlog continues to improve.
Operator: Those were all of our questions. So I will now hand the call back to CEO, Troy Rudd, for closing remarks.
Troy Rudd: Thank you, Operator. Again, I want to thank everyone for joining us on the call today. I appreciate the questions from our analysts. And I want to most importantly thank our teams for their great contributions to the first quarter, and the work that they've done is to create great momentum across our entire business and create opportunities for our professionals and the opportunities to continue to do great work for our clients. As we look around the world, we certainly see a lot of conditions in many markets that are volatile. But we're lucky we're in an industry that's benefiting from very favorable long-term funding trends. And yes, I'm proud to say, I've work involved with people here, we've really done -- really created a great opportunity to position ourselves to take advantage of or capitalize all those opportunities for the long-term. So again, I thank you all the professionals here at AECOM. And we'll talk to you next quarter. Thank you.
Operator: Thank you, everyone for joining us today. This concludes our call, and you may now disconnect your lines.